Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Ballantyne Strong 2009 fourth quarter results conference call. (Operator instructions) As a reminder, this conference is being recorded today, Monday, March 22, 2010. I would now like to turn the conference over to Rob Rinderman of Jaffoni & Collins, Ballantyne investor relations. Please go ahead sir.
Rob Rinderman: Thank you very much Kamaika. Good morning everyone. I also would like to welcome you to the Ballantyne Strong 2009 fourth quarter results conference call. This call will contain forward-looking statements relating to the future financial results of Ballantyne Strong. Listeners are cautioned that such statements are based upon current expectations and assumptions and involve risks and uncertainties within the meaning of the US Private Securities Litigation Reform Act of 1995. Listeners should note that these statements are only predictions. They are subject to inherent risks and uncertainties and may be impacted by several factors, including but not limited to customer demand for the company’s products, the development of new technology for alternative means of motion picture presentation, domestic and international economic conditions, the achievement of lower costs and expenses, credit concerns in the theater exhibition industry and other risks detailed from time-to-time in the company’s other Securities & Exchange Commission filings. The company’s actual performance and results could differ materially because of these factors and other factors discussed in the management’s discussion and analysis of results of operations and financial conditions section of the company’s SEC filings, copies of which can be obtained from the SEC website www.sec.gov or Ballantyne Strong's website www.ballantyne-strong.com. All information in this conference call is as of today and the company undertakes no obligation to update these statements or to update expectations from prior conversations. I also would remind listeners that this call is being web cast live over the Internet that a replay of the call will be available on Ballantyne’s corporate website for 30 days after the call ends. I would now like to turn the call over to Ballantyne’s President and Chief Executive Officer, John Wilmers. John?
John Wilmers: Thanks Rob, and thanks to all of you for joining today’s conference call. Joining me today is Kevin Herrmann, our CFO. I will overview Q4 developments, discuss our 2010 outlook and then let Kevin review our operating results and financial position. We will then take your questions. Q4 performance follows a strong performance in Q3. Digital equipment sales grew 77% to 6.9 million versus last year. Included in that were 70 digital projectors shipped in China. We saw good demand also in Mexico, Latin America, Asia, and with US independents. We are also seeing smaller chains starting to self finance to capitalize on the 3-D boom. Sales at MDI, our screen business, were up modestly in the fourth quarter versus last year. Typically vacations and the holiday movie season creates a seasonal slowdown during this period. At MDI, we continue to focus on R&D enhancements to position the company on the cutting edge of new reflective technologies. Our Q4 bottom line was negatively impacted by a litigation settlement, and we were also affected by a big ramp in sales expense from several industry trade shows we attended during the quarter. Now let us move to the full-year 2009. Digital equipment grew 122% to $27.9 million. The number included 489 projectors shipped in ‘09 versus 201 in ’08. Our screen business grew 79% to $12.2 million and the service group grew 20% to $3.8 million. Moving to 2010, we just returned from Show West, our industry’s largest annual convention. The difference from last year was like night and day. There was tremendous excitement in activity as the benefits of digital, 3-D and alternative content become increasingly clear to exhibitors and studios. We are excited to be poised at these early stages of this unprecedented retooling of the exhibition industry, and with the recent funding of DCIP; there is $660 million available to the partners for this transition. We view this as a catalyst for a ramp in digital conversion for the DCIP members, of course, but more importantly for the larger base of approximately 18,000 US screens outside of DCIP, not to mention the international opportunity. DCIP provides a strong endorsement and high-profile model for funding digital conversions, and we have already seen a competitive response to keep pace. During Show West we announced 66 new digital projector sales with ancillary equipment and services under our Digital Link program, which is the JV we have with RealD. Though 3-D performance is motivation enough to convert as there are over 20 3-D pictures planned for 2010, they are being augmented by a wave of alternative content such as the upcoming final four weekend in 3-D. I would now like to take a closer look at our individual business segments. In the theatre service business Strong Technical Services remains one of the largest and most capable service teams in this space. We have grown our group of technicians to 55 along with agreements with other integrators if the need to augment our staff presents itself, and we continue with intense training to give our people all the tools necessary to carry out our plan to be agnostic regarding brand of digital machine. We feel service will be in great demand as the role begins in earnest, and we have positioned STS to meet that demand. As I believe most of you are aware, we will be doing Regal’s integration and installation. This includes consolidation of the equipment, installation of ancillary equipment and shipping of complete complexes to ensure that everything is there on time ready for the installation team to take over. This will account for approximately 800 screens through the end of 2010. We also have an agreement with Barco for service and installation and look forward to servicing their customers such as Cinemark who are part of DCIP, and also other independents, and of course, installs for national amusements in Marcus, that I mentioned earlier who we are doing in conjunction with our sales partner NEC. From a margin perspective, we are looking at the service business with a great deal of anticipation. As many of you know, we have had challenging times over the last couple of years as we have built the business to meet the inevitable ramp only to struggle as the funding of the transition was put off. Well, the barrier has finally been broken, and the service group will be busy which equates to profitability. We anticipate margins to move from the low teens to the mid-20s. Moving on to digital equipment sales, we are focused on Asia, particularly China and the many opportunities throughout the Americas. In China the government is supporting a rapid roll-out to achieve 13,000 to 15,000 new screens over the next 3 to 5 years. There are presently between 6000 and 7000 screens, and they continue to move quickly to achieve their goals. As I mentioned earlier, we shipped 70 machines of our 160 machine tender in the fourth quarter, and expect to ship the balance in the first quarter of 2010. As a matter of fact, we are shipping as we speak. We are also responding to tender offers with quotes that will ship later this year. Responding to that opportunity in Asia, we will be expanding our footprint by opening an office in Shanghai and Taiwan later this year. Domestically and more accurately the Americas presents many opportunities as we move forward. The cinema buyers group representing approximately 7000 screens here in the US, the sales to mid-size circuits such as Marcus and National Amusements that include service and screens. And we also have received terrific support from Mexico, South America and the Caribbean. Our distribution partner NEC is providing us with their next generation digital cinema projectors that will begin arriving this week. The machines have created a lot of buzz with an encouraging amount of enthusiasm when we demoed them for our customers. As a matter of fact, I visited the NEC factory in China two weeks ago, and was very impressed with their commitment to the industry as they expanded their capacity. The 4K chip from Texas Instruments is expected this summer and we look to have 4K DLP by the fourth quarter of 2011. We also hope to have additional funding sources along with the continuing support of NEC Finance which just announced a phased financing with Southern Theatres for their roll-out. In the area of screens, 3-D remains the key driver of our success in that segment. We believe that the demand will continue as exhibitors convert to digital to enjoy the 3-D business. Another interesting fact is we've had recent conversations with our large customers that indicate that their original orders that have been completed are now not adequate and that we will be shipping additional silver screens as we go forward. We continue to look at ways of increasing capacity to meet the demand as the business continues to expand in the Americas, and as we expand distribution into Asia. Finally, I would like to mention our $23 million cash position. We continue to believe that acquisitions are the best use of the cash. We continue to see complimentary add-ons to our core business domestically or internationally. There are opportunities out there, and you can rely on us to continue to use the disciplined approach that brought us Strong Technical Services and MDI screens. We also need to remember that we need to be aware of our working capital needs as the roll begins. We have a couple of things in our sights and will continue with thorough due diligence and make you aware of them when appropriate. With that overview, let me now turn the call over to Kevin to walk you through our Q4 and year-end financials. Then we will open the floor to questions. Kevin?
Kevin Herrmann: Thanks John. As we reviewed in the release, fourth quarter revenues increased 28.5% to $18.8 million largely due to higher sales of digital cinema equipment as John mentioned earlier. Sales outside the US rose to $10.3 million during the quarter from $6.0 million in the fourth quarter a year ago, primarily due to increased business in China and South America as we continue to expand our international presence. Our Q4 gross profit rose 55% to $3.5 million, or 18.8% of revenues, reflecting a more favorable product mix including higher cinema service revenues and strong film projector replacement part sales, which carry attractive margins and the benefit of cost reductions implemented at our Omaha manufacturing facility in early 2009. Q4 selling, general, and administrative expenses rose to $3.2 million, compared to SG&A of $2.8 million a year ago, which excluded a year ago $2.3 million goodwill impairment charge. The increase in SG&A is principally due to the settlement of the lawsuit John mentioned earlier, which amounted to approximately $300,000 including attorneys’ fees. Let me point out that for the past few years our operating results have reflected costs related to this litigation. So in settling the suit, we have put an end to the ongoing G&A expense, which has been over $300,000 in the aggregate over the past few years. Also on a sequential basis from Q3, SG&A rose as a result of approximately $300,000 in seasonal trade show costs in the fourth quarter, as we participated in three cinema trade shows, two of which were overseas. Q4 results also include a loss of approximately $225,000 from our equity and the loss of our Digital Link II joint-venture with RealD, compared to a loss of approximately 221,000 a year ago. As you know, the joint venture was formed in 2007 to fund 3-D digital cinema deployments for key customers, and the increased loss reflects higher depreciation and interest expense from more deployments under this program. As customers who have used this program begin to ramp up their digital theatre conversions, the terms of the Digital Link II joint venture will require them to pay for the equipment. Ballantyne will then receive its share of these proceeds as a return of capital, which could amount to as much as 3.8 million after all of the equipment is eventually purchased by these exhibitors. We have also recaptured previously recorded depreciation against the equipment as income in the future. Reflecting the impact of the litigation settlement and the seasonally high selling costs, we reported fourth-quarter net income of approximately $52,000 or break even on a per share basis, compared to a net loss of $2.3 million or $0.17 per share in Q4 last year. The 2008 results included a $2.3 million charge for goodwill as I mentioned earlier. Ballantyne ended the year with $23.6 million in cash compared to cash and cash equivalents of $23.3 million as of September 30, and 11.4 million at year-end 2008. Increasing cash from year-end 2008 was the result of 2.4 million of operating cash flow, coupled with the liquidation of 10 million of auction rate securities at par back in Q2. Our operating cash flow was impacted by receivables and inventories increasing $3.8 million and $3.9 million respectively. These working capital needs were offset by increases in accounts payable and customer deposits of $3.3 million and $1.1 million respectively for a net working capital need of $3.3 million for these particular items. As we move into 2010 and increasing level of sales in the service business could temporarily draw down a portion of our cash position, as more capital is temporarily tied up in the funding of the company's short-term working capital needs if the roll-out of Digital Cinema accelerates as anticipated. Without our strong balance sheet, we believe that we are in a good financial position to run our business, to fund our working capital needs, which will be driven by a ramp in digital cinema deployments, as well as to explore acquisition opportunities. With that, John and I would like to open the call to your questions. Operator please proceed with the Q&A session.
Operator: (Operator instructions) Our first question is from the line of David Wright with Henry Investment Trust. Please proceed with your question.
David Wright - Henry Investment Trust: Good morning.
John Wilmers: Good morning.
David Wright - Henry Investment Trust: John, in your preamble you talked about an outlook for 2010, you gave us a fair amount of details, but I'm not sure if I heard an outlook in there. Is there one?
John Wilmers: Well, I think as far as an outlook, if you're referring to guidance of course, you know our position on doing that but I think the outlook, I know the outlook is for continued growth in all of our businesses. We feel that the digital cinema equipment business is growing. We look at terrific opportunities in China and in the US or the Americas. Our service business, Strong Technical Services is looking at as a starter, the Regal integration and installation work that we’ll be doing which equates to 800 or so installs for the rest of the year, and that in addition to that we have our other deals with Barco and with of course NEC, which we service ourselves. So Strong Technical Services looks very strong going forward, and as I said service people and service groups that are busy turn into profitable businesses and that's what we see happening there. The –
David Wright - Henry Investment Trust: Okay. So you talked about STS margins moving from the low teens to the mid 20s. Where do you think the overall company wide margin could get to towards the end of the year?
Kevin Herrmann: I think you're looking at, you know, a range of probably 15% to 18% something like that. It depends on product mix of screens, service, how many digital projectors we are selling.
David Wright - Henry Investment Trust: You said, company-wide 15% could be a target?
Kevin Herrmann: Yes.
David Wright - Henry Investment Trust: Okay. And I have another question and it also relates to something you alluded to John, which was additional financing sources beyond NEC. The National Amusements and Marcus announcement said that Digital Link funding had been provided by NEC, right. If you guys putting on guarantees, did they finance the whole thing?
John Wilmers: Yes, they did. They financed it, of course, you know, they are financing Digital Link, well essentially Digital Link is the ultimate owner of the equipment until of course as Kevin said, this has taken out. So –
David Wright - Henry Investment Trust: Sure. So is that the direction you guys are looking at going forward is to try to have NEC or others provide financing on the JV sales rather than Ballantyne, you know, effectively financing them?
John Wilmers: Yes, we – I’ve said in the past, David, that you know, we’re not really in the business and don't want to be in the business of financing. These situations with Digital Link have come up over the years, and they've been more of a strategic move on our part than anything else. If you recall initially we did finance, Ballantyne did, but then NEC financed has for the last, which – or the majority in the last couple of go-round's has done the financing of it, but further to that NEC what we are looking for is them to create a – to become more of a financier of our customers out there and they announced a deal with Southern Theatres to finance equipment for them. So, you know, more than the Digital Link situation, and then we are looking at you know, our individual guys out there are going out and finding financing on their own. We've got Cinedigm out there with a plan where the independents can come to them and utilize their access to VPFs and fund themselves. So as this starts to move and it is moving more quickly now than it ever has, as it starts to move, we’re hoping there are even more vehicles that show up in terms of financing. We have – you know, we get calls every day, you know, how can we go about getting this done and it generally comes down to access the VPFs and financing, and we try to lead the people in the right direction, and hopefully some more people will step up and be able to do these things.
David Wright - Henry Investment Trust: Okay. Well, it sounds like it’ll be a busy year. Keep up the good work and thanks very much.
John Wilmers: Thank you very much.
Operator: Thank you. Our next question is from the line of Marla Backer with Hudson Square. Please proceed with your question.
Marla Backer - Hudson Square: Thank you. I have a couple of questions about the service group. In the past, you've talked about the longer-term strategic plans for the service group to possibly add other areas of service. Is that something you're still considering or is that sort of on hold right now because you are anticipating such a ramp up in demand for service for digital cinema in 2010 and 2011, hopefully 2012?
John Wilmers: Yes, well we certainly would never – we never are taking the eye – our eye of the ball in terms of additional work that the company can be doing, but right now we are really focused on having enough people and strategically positioning them to do what we have to get done. If you think about the amount even just the Regal install and I – you know, we center on that a lot because it's a big, big part of it but we have several other independents and things that Strong Technical Services work with, and we just need – what we've done is we have right now about 55 technicians. They are all trained on all products. We have a deal with I think two other integrators that will make available to us, people to augment these 55. So at the present time we are feeling like – we feel like we could be doing 400 installs a month, and if we need to increase that we will do it. So I think the answer to your question Marla, we don't – we're not focused 100% on those other things we can be doing right now. We’re really focused 100% on taking care of the demand that's coming in the next three years.
Marla Backer - Hudson Square: Okay. That makes sense, and with the 4K chip, you're thinking it would be ready by summer for 4Q commercial launch. Have there been any early demos of how the chip looks and how it compares to the Sony model?
John Wilmers: No, there hasn't – and again what the NEC people in their meetings with TI at Show West told me is they expect the chip this summer from them, and that it could be mid-summer, it could be early summer, I'm not sure. They didn't zero in on that, but their statement was that they would have, we think we will see products, prototypical products in the fourth quarter and then production units in the first quarter of next year. I have not heard of any testing I think you know, in terms of comparisons and those things. I think we’ll see that once all of the OEMs get these 4K chips and then build their light engines and put them in their machines and start running the tests, that's generally that's what is going to happen between summer and the end of the year as they integrate the 4K chip into the existing machines.
Marla Backer - Hudson Square: Okay. With the cinema buying group, are they buying exclusively through Cinedigm or do you, you know, is there opportunity to go to cinema buying groups directly as well as to go to Cinedigm?
John Wilmers: Yes, I don't believe – we've not, I've not encountered a situation where you know, these guys that are members of the cinema buyers group have come to us, and I believe I'm not sure whether Southern was a part of the cinema buyers group or a few of these other companies we've been doing business with. I don't think they are restricted in any way Marla. You know, that they’ve signed with Cinedigm and can only do work with Cinedigm. I think if another type of VPF arrangement or an agreement presents itself, I don't believe they’re bound to stay with Cinedigm.
Marla Backer - Hudson Square: Okay, and then my last question is, once Digital Link and Digital Link II, once the exhibitors begin to purchase the equipment from those two funding sources, you will see an income gain through your P&L, correct?
Kevin Herrmann: Right, right. We’ve been depreciating the equipment, but once they have to purchase the equipment above that, you know, that reduced net book values. So that's going to basically be a depreciation recapture entry through Digital Link II and then we’ll pickup our 44% share of that income.
Marla Backer - Hudson Square: So it will – have you decided yet or determined yet, how you will have to present that, will that be below the operating income level?
Kevin Herrmann: Yes, it’ll – yes, on the line item right now, we have a line item on the income statement called equity and loss of joint venture. That's where it's going to flow through.
Marla Backer - Hudson Square: Okay. All right. Great, thank you very much.
John Wilmers: Thanks, Marla.
Operator: Thank you. (Operator instructions). Our next question is from the line of Rick Federman [ph] with Federman Investments [ph]. Please proceed with your question.
Rick Federman - Federman Investments: Thank you. Good morning everyone. Kevin, one of the preview – you made a comment earlier about the margin for the year being you know, maybe as high as– for the company wide 15% to 18%. Was that for the year or run rate at the end of the year?
Kevin Herrmann: I would say – I was talking about 12 month, you know, full-year 2010.
Rick Federman - Federman Investments: Okay. Could you repeat please, I didn't catch it at the beginning, the revenue for digital equipment screen sales and service for the year?
Kevin Herrmann: For the year?
Rick Federman - Federman Investments: I think – John, didn't you mention that early in your comment?
John Wilmers: Our digital sales were 27.9 approximately and screen sales were around 12.2 for the year.
Rick Federman - Federman Investments: Okay.
Kevin Herrmann: And the projectors were – was 489.
John Wilmers: 489.
Kevin Herrmann: 489 digital machines, right.
Rick Federman - Federman Investments: So, the others $25 million or $30 million was analog and spare parts?
John Wilmers: Yes.
Rick Federman - Federman Investments: Okay. What's the number of screens currently in your backlog? I think you probably run in flat out trying to fill orders, but where are you in terms of backlog there?
Kevin Herrmann: In terms of screens? Is that what…
Rick Federman - Federman Investments: Yes, the silver screens, are you – is there a backlog?
John Wilmers: Yes, we’re about 6 to 8 weeks out right now on deliveries.
Rick Federman - Federman Investments: Can you convert that to a number of order, number of screens?
John Wilmers: Not really because remember screens, they come in different sizes and they are all priced on a basically a, you know, a square foot percentage. What you can figure is if we are running at 100% there, remember last year we were running at 100%. Then we did about $12.5 million for the year. So, I think if you are looking to get to some sort of a number quarterly, you can get to – you can work it that way. If you understand, and then…
Rick Federman - Federman Investments: Yes.
John Wilmers: And then take into consideration that we are going to hopefully be upping the production and moving more into Asia with the deal we have done with a partner over there in terms of shipping screens that need to be cut, but they will be cut by a partner, and this could then – this will be incremental to what you extrapolate by looking at the year, and say you are running at 100%.
Rick Federman - Federman Investments: Is – can you comment on the outlook for ongoing maintenance and service contracts after installs are done?
John Wilmers: We are just – we are still in a position that we are waiting to – I hate to say see what happens, but basically that is the situation. You know with our large customer, Regal, they will do their own maintenance after, but then you have all the rest and I think the jury is still out. Some want to do it on their own. We don't think that once the – and of course if you are part of the Cinedigm group like that that basically says you will have a maintenance contract. We are certainly encouraging maintenance contracts, but we don't have a lot of them in our pocket right now, but we feel as the rollout begins, as more and more of these machines are out there, as the people start calling us for on demand service, then we can sell them on a maintenance contract that services that equipment going forward.
Rick Federman - Federman Investments: Okay. Let me go back to one other thing, a question that came up regarding the screens or the screen revenue. Is it fair to say that if nothing were developing in Asia in terms of expanding capacity that the screen revenue would remain in the same neighborhood for 2010?
John Wilmers: I believe we will stay in that area in 2010. The outlook is very good. And again with the addition of business in China and the increased production capacity, which we are working on as we speak here, there should be no problem and I would expect to see a slight up in the revenue for the year. Just keep in mind, we are at a point where it is capacity kind of restrained now. And that is why we are very actively right now looking at ways that we can increase the capacity of that facility out there.
Rick Federman - Federman Investments: Okay, is that – is increasing the capacity in the facility any – would that require – what kind of capital requirement would that take? I mean is it nominal or significant?
John Wilmers: It depends on how we do it. It depends on the negotiations with the people that own the building and what we do with that. And then physically what we have to do with the location. So, it is just a matter of space quite frankly, and drying area where you paint these screens, and you can get into a bottleneck. You can weld them and put them together and cut them and do all these things. But once you paint them you have to give them a certain period of time to dry, and you can only hang so many in the space. So whatever add on that would come would not be an expensive add-on. It would be large open spaces with rigging to hang screens, and HVAC that is adequate to promote the drying of the screens.
Rick Federman - Federman Investments: Thank you very much and good luck.
John Wilmers: Thank you Rick.
Operator: Thank you. Our next question is a follow up from the line of Marla Backer with Hudson Square. Please proceed with your question.
Marla Backer - Hudson Square: Thank you. You know, in the call you mentioned Southern Theatres a couple of times, and I just made the assumption about Southern that they were ultimately part of your rollout. Could you just provide a little bit more clarity on whether in fact that is the case or whether that was just an NEC funding piece, or exactly how that will play into your outlook for 2010?
John Wilmers: Yes. It is an NEC funding of Southern Theatres, but it will involve us. It is just that right at this point in time, we are not 100% sure of how big it is to be honest. It is probably in the area of -- Southern is 280 -- I think right around 280 screens. They already have a number of our Digital Link screens there. Ultimately. it will be for the balance of that, and as soon as we get a real good handle on the amounts, the initial phase of this, then we are going to be talking to all of you or you will see a press release regarding it. But it is a funding by NEC Finance, and we want to make sure we know the exact numbers here that are flushed out before we make our announcement about the deal. We are involved. It is our deal.
Marla Backer - Hudson Square: Okay. Great. Thank you.
John Wilmers: Thank you, Marla.
Operator: (Operator instructions) There are no further questions at this time. Mr. Wilmers, I will turn the conference back over to you to continue with your presentation or closing remarks.